Operator: Thank you for standing by, and welcome to the New Hope Group Quarterly Activities Report August to October 2025 Quarter 1. [Operator Instructions] I would now like to hand the conference over to Mr. Rob Bishop, Chief Executive Officer. Please go ahead.
Robert Bishop: Good morning, everyone. Thank you for joining our call today. I'm Rob Bishop, Chief Executive Officer of New Hope Group. I'm joined here by Rebecca Rinaldi, our CFO; and Dom O'Brien, our Executive General Manager and Company Secretary. This morning, we released our quarterly report for the first quarter of the 2026 financial year, which includes our guidance for the year ahead. Hopefully, you've had a chance to go through the report. But in any case, I'll briefly step you through our key highlights before we open up the line for the Q&A. It's been a solid start to the 2026 financial year. Most importantly, our safety performance continues to improve with our 12-month moving average TRIFR decreasing to 2.63 at the end of the quarter, which was 18% lower than the previous quarter. It's pleasing to see our safety measures improve our successive quarters, and we continue to make this a key priority. Operationally, both sites performed well during the first quarter. We moved 17.1 million bcms at prime overburden, a 6% increase from the previous quarter, driven by improving mine conditions. In addition, we produced 2.7 million tonnes of saleable coal, an increase of 7% compared to the previous quarter, largely reflecting the easing of logistical and site stock constraints at Bengalla mine. Following significant weather events in the July quarter, Bengalla mine recorded improved operational performance and continues to focus on realignment of the pit sequence. Saleable coal production was 2 million tonnes while coal sales were 1.9 million tonnes, both increasing by over 20% compared to the previous quarter with the CHPP maximizing washed product ahead of its 7-day planned shutdown in December 2025. Following the increased coal production, Bengalla mine achieved an FOB cash cost, excluding royalties, of $83 per sales tonne, 18% lower than the previous quarter. At New Acland mine, the focus was on prime waste movement, which increased by 14% compared to the previous quarter. Saleable coal production was 0.7 million tonnes, and coal sales were 0.8 million tonnes, both lower than the previous quarter as we process some of the lower yielding coal on stock. In terms of financials, the group's underlying EBITDA for the quarter increased by 16% to $108 million, largely driven by increased coal sales at Bengalla. Our average realized price was AUD 137 per tonne, a slight increase from the previous quarter following improvements in both gC NEWC and the API-5 price. During the quarter, the group paid the FY '25 final fully franked dividend of $0.15 per share or $126 million and ended the quarter with available cash of $544 million. As I mentioned earlier, today, we released the group's 2026 financial year guidance, which is targeting saleable coal production of between 10.2 million and 11.5 million tonnes. This outlook reflects an increasing contribution from New Acland mine and production at Bengalla mine maintaining a relatively stable state, despite the flowing effects from significant weather and downstream logistics challenges which impacted the 2025 financial year. Overall, we are looking forward to a productive and safe year ahead and continue to remain a low-cost producer. I'll now hand over to the operator to start the Q&A session.
Operator: [Operator Instructions] Your first question today comes from James Williamson from Bell Potter.
James Williamson: I might just start with New Acland. Can you just elaborate on what you're now required to do following the Queensland government change in the Stage 3 conditions around the construction of the new rail loop? And what CapEx is required or potential CapEx savings as a result of that decision?
Dominic O’Brien: Sure. I'll -- Dom O'Brien here. I'll take that one. Significant change recently was the Coordinator General's decision to delete the requirement for us to build a dedicated rail loop at the mine. This is probably the most significant change in the approvals process since we commenced our ramp-up activity really going back a couple of years now. The main issue with the rail loop was that it was originally proposed back when the footprint of the mine that we applied for was proposed to be much bigger. And as we went through a very protracted approvals process, we really, at the end of that, ended up with a suite of approvals that saw the mine continuing to operate at the same levels as it has done historically. So in that context, it didn't really make any sense to build a dedicated rail loop, and there was some very legitimate questions about the utility of it. So we explored with the Coordinator General the option of deleting that rail loop and looked at other conditions around enhancing the local road network that we would continue to use as we have done historically. And we also looked at some options around further enhancing community investment to deal with any impacts that were associated with that change. So we went through what we thought was a very useful and sort of sensible process, and we resulted in an outcome that was quite balanced through the deletion of that rail loop. And sort of most importantly as well, it's enabled us to scale back the footprint of the mine, and we also result in not having to disturb over 100 hectares of land. It will just remain as it is. So a range of benefits there. On the capital aspect to it, the headline number for building that rail infrastructure that we had estimated previously was about $120 million. So we save that upfront. There is, however, investment that gets repurposed into the local roads network, and that sort of smooths that capital profile over the life of it.
James Williamson: Great. Maybe just another question on Bengalla. How should we think about the production and cost profile over FY '26 as a result of the pit realignment happening? And is the focus sort of in the first half on pre-strip with production and sort of cost to improve across the year?
Robert Bishop: Yes. So as you would have seen in the quarterly and at the end of the quarter last year, we had significant rain events and logistical constraints, which impacted our FY '25 year, which that obviously, I guess, changed the profile of the mine planning for the pit last year and then that continued into the first quarter of this year. So for the remainder of this year, it's really aligning the pit, laying back the high wall to ensure we can get the pit back in sequence. So this year, you will see a slight increase on FOB costs, and that's really just driven by, I guess, a short-term heightened strip ratio off the back of that pit realignment. And then moving forward, once that's back in sequence, you'll see that the strip ratio will come off, and we'll achieve sort of that 13.4 million ROM, which was indicated as part of the growth project, and you'll see the unit cost come back down to a more consistent longer-term rate.
James Williamson: Great. And then just another one, if I may, on balance sheet, and then I'll pass it on. But even if you remove the dividend payment, your cash balance is still down around -- I calculate around $37 million. Is that sort of just a result of CapEx and/or how should we think about the CapEx profile across FY '26?
Rebecca Rinaldi: Yes, sure. So I mean, the cash balance is down because of the dividend, but also we acquired an additional 3% in Malabar. So that was around $36 million that transacted towards the end of September. So that kind of bridges that gap per the original for the previous quarter. I guess this year, we do have a heightened capital profile at Bengalla. There is capital in there that we are required to do over the next 12 to 18 months, and we're also looking at a fleet replacement for the trucks, which we've talked about in previous reporting documents. We are looking at financing those trucks to really smooth that cash profile, while the coal price is still sitting at a relatively low level. But overall, I think the balance sheet is in a pretty good state, and we'll continue to manage capital as we need.
Operator: [Operator Instructions] Your next question comes from Glyn Lawcock from Barrenjoey.
Glyn Lawcock: Just a couple. Firstly, any comments you can make around how we should think about New Acland, its costs in '26, say, relative to last year?
Robert Bishop: Yes. No, it's a good question. I think Acland and obviously, guidance, we haven't included that in the past really because it's in ramp-up. So we'll obviously combine that into the group guidance moving forward. But for now, while it's in ramp-up, it probably doesn't send the right message with regards to costs. Once it gets to a steady state, it will sit in the low 90s for -- so that's the cost to put it on the boat, so FOB cost. And really, the difference between if you were to compare Bengalla and Acland is just the rail corridor. So it's not as efficient, smaller trains and less volume going down the trade line. So longer term, when we're running at about 5 million product, it will be in the low 90s at Aussie.
Glyn Lawcock: All right. That's great. And then just the buyback, it's obviously been in place but inactive all year. You've been returning cash through dividends though. So you're still happy to return cash. Is there -- why the preference for dividends over buybacks once it was put in place but not used? Any thoughts?
Rebecca Rinaldi: Yes, sure. So I guess, yes, we did turn the buyback on when we saw real volatility in the market around that March, April period. We've seen the share price come a lot higher than originally when we entered the buyback, and I think the average buyback price about $3.60. We are still active in the buyback, and we'll look for opportunity when it comes about. But at the moment, given where coal price is and the capital profile, the focus is to maintain a reasonable dividend profile and also utilize the franking account balance we have, which is about $900 million at the moment. So again, we want to put that in our -- the hands of our shareholders. So probably the preference at the moment is dividends.
Glyn Lawcock: Okay. No, I appreciate that, Rebecca. And I guess if you have a windfall and prices go back up, then we may supplement it. But right now, just focus on the dividend and the banking. It's just a surprise to put it in place when you really had all that franking to start with, I guess.
Rebecca Rinaldi: Yes, that's right. It's just flexibility really that we like to have.
Operator: As there are no further phone questions, we will now pause briefly and address any questions from the webcast. Your first question from the webcast today asks, regarding future dividend payment, would the management consider to use a large amount of cash reserve as a backdrop to maintain high yield dividend than your competitors to attract more income-seeking investors?
Rebecca Rinaldi: Yes. I guess that it's a good question. And I think one we consider a lot when we come to each reporting period and decide what dividend to pay in line with the Board's expectations. Like I mentioned earlier, we are in a soft period of coal pricing, and we do have a slightly higher capital profile for both operations over the next 12 to 18 months. That's probably where we see the most value is getting our sites, particularly New Acland, ramped up to that 5 million tonnes. So that is, by far, the best use of cash at the moment. Aside from that, in Bengalla's capital profile, then yes, we would look to reward shareholders with a strong dividend profile. We want to maintain that profile, and we do what we can when we look back over the past 6 months and look forward as to what coal price is doing. But in order -- I guess we did raise a lot of that cash for strategic opportunities. So I can't see us using all of it for dividends, but we would assess the situation at each reporting period.
Operator: Your next question from the webcast asks, what mitigation strategies have you put in place to limit the logistics constraints at Bengalla?
Robert Bishop: It's a good question. So those constraints arose during the significant weather events in the Hunter region at the end of last year, which I touched on before. Yes. We incurred significant rail cancellations during that weather, and there are also issues with labor availability and congestion at the port. So the focus has really been engaging with the major rail providers since those events. And certainly, we've seen some improvements, but certainly more improvement is needed. We look to other logistics providers as well just to ensure that we cover off any potential downside with a specific rail provider. And we've also looked to increase our overall haulage capacity. So that if there are more constraints, we've got more capacity to deal with.
Operator: Your next question from the webcast asks, is the company considering increasing its stake in Malabar any further? If so, are there any active discussions in this regard?
Robert Bishop: I guess, in short, no, with regards to active discussions. You would have no doubt recall, we've completed 2%, 3% increases in Malabar, and that's really been off the back of being approached by other major shareholders. So we're not actively looking for it. But if we get approached for an opportunity, we assess it on its merits. And in these 2 cases, we've executed on both 3% increases. But as I've said before, projects going well, and we're very happy with the skill set and knowledge of our of other major shareholders in that business.
Operator: Your next question from the webcast asks, the proportion of high ash coal sales seems to be increasing in comparison to total sales. Is this trend expected to continue?
Robert Bishop: So the -- I guess, the sales mix during the quarter was really off the back of sales from New Acland. So we are seeing, I guess, a higher portion of higher shipments scheduled in the quarter. But we will see that come down across the year. And then once we get to full production, you'll see it fall back to that sort of similar percentage split that we saw in Stage 2. So it's really just a timing issue at the moment where we are in the development of that pit.
Operator: Thank you. There are no further questions at this time. I'd now like to hand back over to Mr. Bishop for any closing remarks.
Robert Bishop: No problem. Thanks for dialing in, and thanks for your time today. Have a great day.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.